Operator: …Financial Conference Call. My name is Jennifer, and I will be your moderator. At this time, all participants are in a listen-only mode. Later, we will be conducting a question-and-answer session. [Operator Instructions] Please note that this call is being recorded. I will now turn the call over to Andrew Kiguel. Andrew, you may now begin.
Andrew Kiguel: Thanks, Jennifer and welcome everybody to our Q3 investor conference call. On the call today are various members of the team. We have Lauren Turgerman, President and the key leader at Metaverse Group; Josh Doner, our Chief and Key Officer and also our leader at Hulk Labs; Eric, our COO; Jonathan, our CIO; Jennifer, our Head of Communications; and of course, Martin, our CFO, I think I've caught everybody there that's on the call for us. So just to jump right into things, Q3 was somewhat of a not much going on quarter in terms of operations. We completed the acquisition of all the issued and outstanding shares of Metaverse Group that was successfully completed. We now own 100% of that business. We acquired the team behind a company called Startup Slang and obtained its workforce and its IT that was done as a non-cash deal. Essentially that was a business that was about to close for operating reasons, but we were able to take the most valuable people there as well as our IP and bring that in-house. That had a lot of interesting clients and some technologies that we're utilizing right now. Hulk Labs has continued to evolve in its new direction. We announced the creation of a proprietary mobile-based web-free game called Astraeus Defense. In terms of the overall business, we're continuing to focus on growth as the business has evolved since inception in 2000, which was really just holding passively some Tokens for staking and earning that income off the staking. We've moved into developing IP, getting clients and developing various types of software that helps companies go from 2D to 3D. We've continued to invest in our IP. One of the things that is a challenge for us is how do we show the margins in our various businesses, which are profitable or not profitable, but we're continuing to develop clients, while at the same time continuing to invest in IP and software that we think will be valuable in the future. For sure, I would say Q3, we may have been too optimistic on the revenue front, as the group members will discuss. The marketing budgets weren't as quite there as what we thought they would be. We're continuing to focus on that and we're seeing a big improvement in terms of pipeline and signed contracts in Q4. With that, I'm going to turn it over to Lorne Sugarman to provide an update on Metaverse Group. He'll turn it over to Josh for an update on Hulk. We'll turn it over to Martin and then we'll close out and answer questions. Lorne?
Lorne Sugarman: Sure. Thank you, Andrew, and thank you everyone this morning. So as Andrew alluded to, the business definitely faced economic headwinds, which did impact our quarterly revenue, although what we've done in the interim is invest in processes and systems on our sales side, so that we can continue to build top-of-funnel activities and we are very confident and very happy with those top-of-funnel activities as we've seen that funnel continue to build, even in light of economic headwinds and software revenues this quarter. We've also had an evolution in our business and the IP that we're creating and have continued to invest in order to build on multiple platforms and so we are very focused on Roblox and the Fortnite Create as examples, where brands continue to grow on and brands continue to see significant applications on these platforms and as Josh will talk about a little bit later, I'm sure we have some really exciting things that we're doing in the branded game side that we're working very closely with our team at Hulk Labs to build out some of those initiatives. And so we see this as development and investment in the future of our business as those platforms continue to grow. And last but certainly not least, is we've also continued to build out our e-commerce expertise and so we're in the process of building an e-commerce application. We have applied to both Unity and Apple for development -- ability to develop on their platforms and on the Vision Pro as an app developer and we think that this is a very unique experience because it will allow brands and companies to perform e-commerce on all these different platforms and so it's a way for people to monetize, which doesn't exist today and we think we're leaders and we'll be the first to market with a very interesting e-commerce product and we're excited and that obviously has required investment dollars to build out those types of applications. And with that, I'll turn it to Josh from there. Thank you.
Josh Doner: Thanks Lorne. Yeah, really excited about what's going on at Hulk Labs. In the end of Q2 2023, we went through a transformation of our business. First, we reviewed what the business was working on and for a little recap, what we used to do is give our assets to players, hundreds of players around the world. They would play Web3, play their own games. They would earn revenue and then we would take that revenue and sell it as our own revenue. And so in managing that network of players, we developed our own software around delegating wallets, as well as evaluating the data within the games that these players were playing and some of that IP we have taken, we've reviewed it and it's actually quite valuable and so we've turned that into internal products that we are building today at Hulk and we have developed over the last three months. In addition to what Hulk is focused on today, there's three core areas of business. So number one is analytics dashboard for Web3 gamers. Number two is Web3 game development with our first title being Astraeus Defense, which we announced a month ago and number three is a service delivery partner for clients and working closely with Metaverse Group, as well as Lorne mentioned, on a game in Epic Store for Fortnite. So we've made significant progress and the really exciting game Astraeus is a sci-fi thriller, and it will use novel Web3 mechanics in its design and that will be kind of balancing the economies and what we saw in Web3 gaming earlier is that these token systems were not sustainable and led to poor player experience and we've taken all that learning and all that analysis and are putting it into this game that we're developing and it'll give us the ability to develop games further. So I'm really excited about that. We're using a lot of AI assistive tools in this and that really improves the creative process and it's kind of a theme we've seen in the last six months really develop and we think it's a sustainable advantage knowing how to use these tools and building the teams that know how to use these tools and that is core to our game development. So yeah, we're really excited about what's going on at Hulk and with that, I will pass it off to Martin to close up our financials.
Martin Bui: Thank you, Josh and hello, everyone. Please be advised that the number presented to you shortly are in USD unless otherwise stated. So for the three months ended June 30, 2023, company recorded revenue of $129,000 compared to $251,000 for Q3 2022. On a nine month ended basis, our revenue was $584,000 compared to $903,000 for the same period of last year. Operating expense were $1.2 million and $3 million respectively for the three and nine months ended Q3 2023, compared to $753,000 and $5 million from the same period of last year. For the three months ended, the increase in expenses was due to additional overheads incurred within both Metaverse Group and Hulk. We have a net loss of $902,000 for the three months ended June 30, compared to a loss of $11.9 for Q3 of last year. And on a nine-month ended basis, net loss was $879,000 compared to a loss of $7.8 million from last year. We ended the quarter strong with $4.3 million in cash and $7.9 million in liquid tokens, and we are well positioned for growth going forward. And with that, I will turn it back to Andrew for closing remarks. Thank you. Are you unmuted, Andrew?
Andrew Kiguel: Yes, thanks. So again, just to summarize for everybody, and thanks everybody for chatting. When you think about Tokens.com and really the way we want investors to think about us as a holding company or a parent company to various Web3 assets that are all interrelated. When you think right now, we have Metaverse Group, and Metaverse Group, the key things that we're doing there are 3D design and activation for various companies. We're now platform agnostic, meaning we've actually just signed a deal with a furniture company to build in Fortnite. We're building in Roblox. We've applied to become an app builder for the new Apple Vision Pro. We're able to design and help create e-commerce pathways for selling things like NFTs. We're also doing branded games for various companies, e-commerce integration, as well as driving traffic. And so when you think about Metaverse Group; that is sort of our company that's dealing with external brands and helping them navigate from 2D to 3D. The other assets we have within Hulk, I think you should view Hulk as sort of our proprietary business development company and that's where we're building our own game, our aggregator website, all of these things. But we also have the domain names. We own CocoNFT. We own our stake in Metaverse Architects. And so really, we have a set of assets, all of which are very much linked to this growth of what's happening within Web3. And if you read, there's a recent report by Citibank from March this year talking about the tokenization of everything on the planet, talking about how the user base for Web3 is going to go from millions today to billions, and that the size of the market is going to go from, again, millions and billions to the trillions and we're trying to position ourselves in that area where it's a balance between trying to go for that low-hanging fruit of revenue, while also trying to invest in this new technology where we're trying to come up with the killer apps, the killer things that we can implement to assist companies to monetize and really, that's what we're trying to do is find the pain points for companies within this area and how do we help them get there and develop this IP and it's a challenge. We continue to invest. What I would say is the pipeline is looking much stronger in terms of recent deals that we've landed. We've landed a contract for finalizing with one of the largest financial institutions in the world. We've landed for a furniture company to develop a game within Fortnite for them. We've done some other things, which will come up and we're continuing to build. We're optimistic about the pipeline. We're optimistic about the things we're building and we thank investors and shareholders for their patience. We know this has been a bit of a longer road than was anticipated. So maybe with that, Jennifer, I'll give it to you and we can take questions.
Jennifer Karkula: So again, we will start the question-and-answer session now. [Operator instructions] So the first question will be from Bill [ph]. Bill, you are able to speak now.
Q - Unidentified Analyst: Hi, can you hear me? Yes. Good morning, Andrew. Thanks for taking my questions. I just want to start off with Metaverse Group. Just hoping to gain some color on terms of where your clients are demanding that they have exposure to? Are there any virtual worlds at this point that you'd say are really leading the pack in terms of where your clients want to be situated?
Andrew Kiguel:
Lorne Sugarman: Yeah, I'm going to turn it over to Lorne, but what I'd say is back in 2021, the hype cycle was definitely there for what we call the Web3 Metaverses and that was like Decentraland and Sandbox and Somnium Space. And what I would say is today, those places have not been able to attract the traffic that they wanted to. They have not been as successful as they wanted to, but the traditional Metaverses like Roblox and Fortnite have really been thriving. And, you have all this media talk about the Metaverses dead. We're seeing just the opposite. You see, Apple launching the Vision Pro. That is a significant development in the industry. Apple has a history of taking technology products and making them mainstream. This is something that, one of the largest technology company in the world has said, this is the future. This is our new product and we're investing our time. Meta, formerly Facebook, again, one of the largest technology companies in the world has said, this is where the technology is going. This is how the Internet is going to be used and so the pivot that we've made is to say, we're not going to hang a shingle just on the Web3 Metaverses, although we're able to do that. We've been expanding outside of that. So maybe, Lorne, I'll turn it over to you. We can talk a little bit about interactions with clients and what they're asking for and looking for.
Lorne Sugarman: Sure. And thank you, Andrew. Thank you, Bill. Andrew kind of stole my thunder and I think what he said was very accurate and very true is -- unfortunate for the Web3 metaverses the way I'll put it, DCL, Sandbox there's definitely been a decline with consumer interest. In fact, frankly, very minimal consumer or brand interest in those Metaverses today, whereas we have seen very significant interest in Roblox, Fotnite, etcetera. Spatial was also one that has seen quite significant interest, and we have some quite interesting activation that's coming there as well. But I would say the traditional Web3 ones have moved away whereas the Web2 ones or maybe better said the more traditional Web2 ones is where our consumers or customers are most interested, and we expect to see continued significant growth in those, and that's why we've spent the time investing in our infrastructure to make sure that we can deliver on those platforms.
Unidentified Analyst: Great. And just as a follow-up, are you able to share some of the color in terms of the traffic across some of the storefronts you've designed in these virtual worlds. Just hoping to get some KPIs on that.
Lorne Sugarman: Unfortunately, I don't have any statistics off the top of my head to provide you with respect to that. I would say, it varies by virtual world and obviously varies by activation. It varies by how much companies are willing to invest in what they're building. So for example, I'll pick on [indiscernible] in a very positive way during Metaverse Fashion Week. This year, they invested significantly in NFTs and gamification of their site, and they saw their significant number over 10,000 users came to their site and they sold out of all their NFTs. And so depending on what brands are willing to do, it's really hard for us to compare side by side or by activation by activation because it really depends on how much they're willing to invest. But as time progresses, Bill, happy to provide those so you can get some good KPIs with respect to the different platforms and what you expect out of the platforms? And maybe one thing we can do for you is instead of using individual names, of the different brands that are doing activations, we can provide you platform-by-platform basis of the type of stuff that we're doing.
Unidentified Analyst: Yes, that would be great. And then just moving on to Hulk Labs. Can you speak to some of the developments in terms of gaming economics? My understanding is that the company pivoted away from the player network in the prior quarter. How is [indiscernible] shaping up relative to kind of the profitability or revenue generation of the player networks?
Josh Doner: Yes. So the revenue generation of the player network was not hugely significant. It was actually giving us a really good way to experiment and understand how these games worked at scale. And so the game is building IP that is a little longer run. The same with when we look at on the data side, that also is a little bit of longer run IP build, and that's product that will be all facing. However, it's very scalable. So you can build those businesses quite large, and we've seen games obviously be extremely successful. There are mechanics in there that do allow us to monetize it as we develop it. But it's been under development for some time now. And right now, the IP has already been all developed out. We've released some of it in terms of a game or trailer. And right now, we're focused on the core game development. And so you'll see more about gameplay and the actual trailer of the gameplay very soon, which we're pretty excited about. So a little longer run on those two parts of the business. However, the game development side is something that we are already earning revenue for and is something that's revenue generating today. And when brands are looking at this space, they want to do gaming well because at the end of the day, gamers are very picky as what they like to see and build in some of the popular indigames that have blown up on TikTok and have been quite successful are not built by necessary agencies. They're built by indi developers. And so our -- the guys that we are building games with, they know games better than anyone. And they are the ones that are creating not only Astras but also doing it for brands, and that is revenue generating today.
Unidentified Analyst: And just as a follow-up to that. In the press release, you guys mentioned that there was a significant development in Web3 gaming with Google enabling NFTs in gaming apps in the Google Play Store. Can you just share your view in terms of how Tokens.com may look to capitalize SP-15 On that development?
Josh Doner: Maybe I'll really quickly grab that and then throw it to Andrew for some final thoughts. But on the day that we announced Astros, Google also announced enabling NFTs in Google Play Store for both games and apps. This is extremely significant. I've been around NFT since the very beginning of lot many years ago in 2017 and to see where we are today, has blown -- absolutely blown my mind away. And I think one of the key tastemakers or, I will say, directors of leading technology on Apple side, it's the Vision Pro, saying, hey, we're investing in the future here. But on the apps and gaming side, Google plays a large part in that because they own the distribution of all these applications and to enable NFTs in Google Play is extremely significant. Because that's where thousands, if not hundreds of thousands of apps and developers are constantly tinkering away and adding new business models and testing new things. And so we'll see a lot of really good quality titles and use cases for NFTs come out of that. And also for our game, obviously, it makes a lot of sense. And so the rank system, if you go to Astrasdefense.com, it's actually linked on the Hulk website, Hulk Labs, you'll see there a bit more about the player economy and how we've built it out. We've done it in a really novel way based on ranking and the ability to use the marketplace as a resale spot. And that will lead into cosmetics skins and other things that players can buy and purchase from us. So Andrew, I don't know if you have anything to expand on that, but really exciting development, Bill.
Andrew Kiguel: Yes. I think you summarized it well, Bill, what I would say is I've been in the, call it, the crypto Web3 space since 2017. And we're constantly battling headwinds with respect to -- this will never go mainstream. This technology is useless. There's nothing to use in part of what I think is significant as you can get into some of the details of what this can do. But again, what you read in the media and everything else is very opposite to the things we're seeing, like you saw PayPal just month a U.S. stable coin this week. We saw Apple launch, the Vision Pro, we saw Medicago name. Now we're seeing Google enabling -- all of this really is -- speaks to the fact that these major corporations in the world are all seeing the same things that we're seeing. Obviously, they're larger and better funded than we are. And so we're trying to sort of find these little niche areas where we can profit from this over time. But I think part of the significance of all this stuff is to say that the it's not just us anymore who is looking at this area and seeing massive opportunity. It is the major players as well.
Jennifer Karkula: Awesome. So the next question will be from Michael Donovan [ph].
Andrew Kiguel: Michael?
Unidentified Analyst: This is Michael Davin calling in for Kevin Dede. How should we think about revenue growth for the Metaverse Group and Hulk Labs going forward? And can you give us a bit more color for 2024?
Andrew Kiguel: Yes. So I'll do my best. I don't like providing guidance because we're in an area that has a mind of its own. So I'd say starting with Metaverse Group and the way we look at it, there's two aspects to Metaverse Group. So there's the current revenue where we have a sales team a client integration and then devs that provide these like 3D design, the branded gaming experiences that we team up with Hulk on. Right now, as I mentioned earlier, we've signed up what I would call a very significant financial client that will end up being our largest contract to date. I think if I'm not mistaken or I think that will be very large. We've signed up a bunch of smaller contracts that will add to that. And really what's there is our ability to continue to build our sales pipeline and land these clients. So once the client is landed, we turn it over to our client integration team that works with the devs and generally every project takes from three to six months to complete, depending on the complexity. So within that group, what we're trying to do is say, okay, what are the areas here if we want to stay ahead of the game, what are the areas here that can distinguish us from the other sort of handful of people doing what we do. And we said, the way that this is going to change. e-commerce, I said this before, e-commerce hasn't changed in 20 years. It's been very stagnant. And now finally, we're starting to see some changes into how that's being done. And so we have a small team that is really working on creating a killer app that can be integrated into 3D environments for companies that can also lead back to the traditional and so I would almost call it Web2.5 in terms of what we're trying to do by linking Web2 and Web3. And so when you think about revenue there, it's going to be our ability to continue to land clients. I think as we continue to land larger and larger names because some of the names that we've been landing recently are household names. I think I'm hoping that will help us attract more similar type clients. And then if we can complete the development of this e-commerce product that we can start integrating in, I mean, that will either be -- my perspective, that be a 0 or a grand slam home run because if we can build that properly and get that integrated in, we can start licensing it out. At the Hulk side, there's 2 main areas. Number one, they'll continue to provide and work hand-in-hand with Metaverse Group on sort of this branded gaming, which to put it in perspective, like in the early days, we would build these virtual stores, right, like Forever 21 and even DKNY. And as they start to develop clients were coming back and saying, "Can you help us drive traffic? Can you help us have a party? Can you help us build the game?" And we've continued to add on these services because we really want to be a one-stop shop for these companies when we build something for them, it's more than just the game. KB Home is another good one. KB Home is one of the largest homebuilders in the U.S. We built a customizable where if remodel homes built to scale, that are customizable in terms of your countertops, your back flash, your brick color, all these types of things. And so we're trying to make to use this three technology in ways that is useful to companies beyond just a, hey, come to our really cool website. So at half, we're providing some of that branded gaming consulting. We have the game. Again, we feel pretty good about that game that we'll be able to get some success. But that won't be ready until next year. And then we have this aggregator website. And what we're really trying to do. We're actually quite along, and we'll be putting together a press release on this in the next couple of weeks. But essentially, it's going to be an aggregator website, whereby players, we're going to take the technology we have and where players can link their wallets and their plan statistics up to a website in a way to sort of show them off and games who we're already speaking to can link in and the same calculators we were giving away for free before, which is which game provides the best return on your investment, we'll have their statistics there. And so -- we believe it's going to be -- what we're trying to do is almost like the coin market cap, but for Web3 gaming. We don't know anybody else in doing that, the way we're doing it, which is the ability to link in this the wallet technology, which is really what we developed through our player network. And so we think that's got the potential to be worth a lot, a, from advertising revenue, a SaaS model that's being built in there. But as well, I mean, if you look at Comark cap, obviously, they're quite large, but they traded for about $400 million last year. So there's significant value that we could be building from that as well.
Josh Doner: And if I may, to add on to Andrew, what's really exciting and game is last year, $4.5 billion of funding happened for Web3 gaming specifically, and we're starting to see some of those quality titles coming to market this year. Hugo Labs has recently put out a couple of games that are really kind of testing the limits and experimenting really in novel ways. And so we'll see more of these titles. And as more of these games come to market, it's going to build the audience that's playing them. and there's going to be needs for data. So players that want to track and see how they're doing, how they're playing, what's growing, what's interesting, what should I be spending my time and finances on. And then you have games too, that are like, hey, I want to attract players and a competitive advantage for games not just the clicking and moving a character and shooting something. It's also all the things that are around the game. So the data quality, the kind of immersive part of it that you can get in with, if I own a character and I'm playing in it has a high win rate, can I sell at a higher valuation? And so as more games are created, same with more items and more characters that have what is metadata tied to its NFTs, which then has valuations in secondary markets. And so all this data needs to be tracked and it's something we've been working on for one and half years on, and I think we're well positioned to have a compelling offering there.
Andrew Kiguel: Yes. Keep in mind, Michael, as a statistic, Currently, there's only a few million Web3 gaming wallets at there. But Citibank as did this full report on this topic in March of this year. and they're predicting by 2025, which is only one and half years away, that there'll be 50 to 100 million players in Web3. And so when you think about the vast amount of volume of people moving towards this is migration from traditional gaming to Web3 gaming that's projected, that's where we see that coming in. And so again, back to my original point, we're balancing here between generating revenue today, which we know is important to shareholders, but also continuing to invest into things that we think will be highly valuable for us by 2025.
Unidentified Analyst: Now Astros Defense will be launched next year, hopefully, for the dashboard that you mentioned, is there a beta version available right now? Or when can players start tapping into that?
Andrew Kiguel: Hope in Q4 this year.
Unidentified Analyst: Q4?
Andrew Kiguel: Yes. We're just finalizing the timing, but it's actually further along than the game. We are just sort of finalizing some things, and we'll be providing investors with some additional data on that, I would say, towards the end of this month or possibly in September when I think a lot of people are we in August, we may get a better audience for what we're talking about in September.
Unidentified Analyst: Okay. Now what are the typical development costs for games like Astros defense? And how can we quantify how much is saved from the use of AI tech that you mentioned in your press release?
Josh Doner: Yes. So it's quite significant. If you were to go get a quote from a gaming studio to build a game like Astros, you would probably come into the $0.5 million to $1 million area if the outside on marketing services. To put in perspective, the cost savings is almost one tenth of that, if you use some of these tools really well. And it's kind of something that is just going to impact game development. Like it's a known at this point, whether it be on the creative side, animating characters or scaling out the development of units, like let's say you have a game that has 100 unique units in it. That kind of development of that used to take a long time, a lot of people to build each of them had to be animated each of their movements, how to be animated and all of that required a lot of people to do. And so now you can have a small game development team that is just kind of tinkering and tweaking and building the lower and kind of running it through these models over and over and over again until they get an output that is in their vision. And so it's quite significant, and it adds a lot to the creative process. And we think this is a competitive advantage that will be here for a while if we continue to learn these tools really well.
Andrew Kiguel: We think we've probably -- to the stage we're at, using AI versus not using AI, we think we see probably somewhere between $200,000 and $300,000.
Unidentified Analyst: Okay. Okay. Helpful. No, I know it's a bit early. But to dive into more of Google's policy change for Web3 games, are there download statistics out there? And how many games have launched after this policy change not so long in Google's platform?
Josh Doner: Yes, not to my knowledge are now. It was literally a couple of weeks ago. So I'll have to follow up with you on the next call, Michael.
Unidentified Analyst: Yes, I think it would be too soon. Okay. On the e-commerce side, with the use of start-up sling tech have you hard down on a take rate for the Metaverse Group in terms of revenue share with Shopify Plus' platform with the games that are actually implementing this? How do we think about that?
Lorne Sugarman: So at this point, Michael, we have it. And in some cases, it will be important to us, and we'll get there on that, and we'll come back to you in the next conference call. In other cases, it isn't based on the application tool that we're point to use because fundamentally, the application that we're building will effectively be its own stand-alone app. And we will not be required to partner with Shopify and allowing companies or branded companies to use it, they'll already be using the Shopify store themselves and it's just an application that allows for the transaction to occur as opposed to actually sitting on the Shopify store itself, if that makes sense.
Unidentified Analyst: No, that does. Let's see. So these brands, Andrew, you mentioned the projects they take about three to six months to incubate. What are you seeing for the like worth staying power with brands? Are they -- are they looking long term? Or are they just putting aside budget for one-off projects and seeing how they go? And I know for each brand, they have different strategies, but what's the overall consensus that you're seeing?
Lorne Sugarman: So I'll take this one, if it's okay, Andrew, is I would say to you that all these brands, actually all overstatement, but most of these brands are taking a long-term perspective. And you'll see repeat activations and repeat use 3D technologies or NFTs or other technologies related to Web3. And so for example, KB Home is a great example where Andrew referred to, where they built their first application into central land. They are now looking at other applications and how they continue to use the technology to evolve it I referred to DKNY earlier, another great example. They were participating in the first minibuses week. They've participated in the second mine faster week they've created and teasing and began continue to evolve. There are many others that aren't or customers that have this similar view. And so we typically look to partner with long-term clients that are looking at a long-term vision. -- and we're trying to share that vision or work with them on that vision. And so there is quite a bit of a repeat success and quite a bit of sustainability in our client base.
Andrew Kiguel: And Michael, what I would say is, to me, it's inevitable that every single company -- a major company in the world will have some kind of 3D website over the course of the next couple of years or something related to Metaverse, whether you call it to the Internet or whatever you want to call it. And so what we're seeing here is that, yes, they're coming in, they're doing these sort of quick things, but they're also focused on, hey, we realize we need to be here. And I'll give you just sort of a quick story. I was talking to a friend of mine. I have got three children that are in nine, 11 and even on younger and talking to other people that have teenage kids. These kids spend a lot of their time playing Web3 games in places like roadblocks and Fortnite and other games in streaming. And when you think about the brands and like this can't be a onetime thing that they're doing because -- if you think about the alpha generates a I talked about that in our deck, which is going to be the largest generation in history with the biggest buying power and 50% of the workforce by the end of the decade, it can't be a one and go and done thing. This is how e-commerce, this is how shopping, brand education, advertising, all these things are going to be done over the course of the next few years because that's what that generation is going to demand. everything today has really been catered to how the baby boomers wanted it, but the technology has changed and this new generation thinks and acts differently, you can see that just by reading the news on a daily basis. And so this isn't a one-and-done type thing for clients. They're dipping their toe to water. We're starting on sort of small projects. The projects continue to build, and we continue to bring storm even with our earliest clients as to how can we build something bigger? How do we access this generation? How do we advertise them and build stickier relationships with our client base?
Unidentified Analyst: Okay. Great. One last question. Staking revenue to your current crypto holdings. Are these remain constant for the next year or two? Or are you thinking about rotating the profits into Medivir Group, Cullas for selling something crypto to fund other projects? How should we think about stake and revenue?
Andrew Kiguel: Yes. What I would say is it provides us a good cushion. We've always liked having that there. Like I said, it's about $8 million right now in liquid tokens. I would say for now, we're not planning to move it. It's primarily all eat. I love at some point in the future potential to be able to add to it. However, if some of the businesses we -- our cash and capitalization is pretty good today. There's no requirement for us to do any type of financing. I think we have at least a couple of years runway before we even have to touch our tokens. That said, if there was another crypto run, you might see us taking some of our tokens off the table and converting it to fit. But right now, I think we're happy earnings or of that passive stake in income we may, at some point, take some of the staking rewards off the table just to pad the balance sheet a little bit. But for now, it's there, and you can consider it as a constant.
Unidentified Analyst: Okay. Great. And I apologize for misleading you guys. I promise this will be my last question. For -- you mentioned swap it over to Fiat. With all the news and stable points, are there any talks about games, partnering with another large company to develop their own in-game stable coins versus their native tokens right now? Are you guys hearing any talks around in-game stable coin?
Josh Doner: In many games, we've an analyzed, they have a dual token system. And so one of the tokens is typically for rewards and transacting and then another token is for the ecosystem. So this is quite a common thing. As for Games accepting ovens, it might be a little early on that because typically at the beholder of, let's say, on the mobile side, Google and Apple and their policies around in not purchase and what not. But many games do accept payments, transact their NFTs in cryptocurrencies. So it is already quite common. But I think generally, as circle and there's regulation around stable coins, my belief that as more people hold them, it's kind of more buying power, if you will, or addressable market. or if you're using that type of transaction medium. So in short, I mean, even Yoga now has a coin and their games are kind of built on top of that platform. So I don't think that will cease to continue. I think that will grow substantially actually over the next couple of years.
Jennifer Karkula: So there are no more questions in the queue. So you're okay to continue Andrew.
Andrew Kiguel: Yes. So just to wrap up, I think thanks, everybody, for your patience. I recognize this last quarter and by looking the share price is not necessarily well received by the market. We're continuing to sort of work hard on your behalf. You think we're repairing a lot of interesting things. We're trying to be fiscally prudent with our capital, and we'll chat again in three months. Thanks, everyone.